Paul Ruedige: Hello, and welcome to the Mercury Interim Results 2026 Investor call. We've got Stewart Hamilton, Chief Executive; Richard Hopkins, CFO presenting and will be followed by questions. Stew?
Stewart Hamilton: [Foreign Language] everybody. Welcome to the presentation of our interim results for FY '26. Very excited to be here with Richard to be presenting a strong set of results. This slide, I'll cover off really talks to our strong first half '26 performance shows that we're investing at scale and growth and that we're performing very well. The 3 themes you'll see across the results for the first half are resilient earnings, our disciplined growth and our strong balance sheet management. This all brings together our strategy of being better today, building tomorrow and brighter together. Starting with resilient earnings. For the first half, we have delivered an EBITDAF of $337 million (sic) [ $537 million ]. That's up 28% on the prior comparable period, driven primarily by higher renewable generation and a very good cost discipline. From a customer perspective, we now have 40% of our customers with multi products continuing to show the strategy since we have merged and acquired with Trustpower. From investing in our core assets, we're pleased to communicate that we have reached final investment decision for $590 million investment back into the next 3 hydro stations on river that will take place over the next decade, adding additional 76 megawatts of capacity. From a growth perspective, our geothermal OEC5 unit at Ngatamariki near Taupo has commissioned and that commenced in January 2026. It's delivered on time and on budget. Our 2 wind projects, the first 1 at Kaiwera Downs 2 in Southland, second 1 at Kaiwaikawe in Northland are both under construction and tracking to deliver and basically by the first part of FY '27 and the second part of this calendar year. Those 2 projects combined will deliver enough power for 140,000 homes, which is the equivalent of Christchurch City. Also moving towards the next consent for our next wind farm project that has a project that many will know as Mahinerangi Stage 2. We have named it Puke Kapo Hau, which means the hill that catches the wind. And that is targeting final investment decision in the first quarter of FY '27, so the middle of this calendar year. And from a balance sheet perspective, we've got strong financial guardrails in place with our debt-to-EBITDA ratio, giving liquidity and headroom to support investment and further investment at scale. We have an ordinary interim dividend up 4% to $0.10 and importantly, have invested just around half of the EBITDAF of $270 million into new and existing assets. And looking ahead to the full year of -- the financial year of '26, our guidance remains on track to deliver our EBITDAF guidance of $1 billion, deliver our OpEx of $370 million, deliver our stay-in-business CapEx of $150 million and deliver our guided dividend of $0.25. Overall, shows delivering for shareholders and also delivering for New Zealand. This covers off the progress against our strategic priorities. Our 5 key aspirations. I won't go into detail of it, except to say that this is the strategy we shared in June 2025 at our Investor Day. The target 5 objectives shown in blue through the middle there are all progressing well. The scorecard shows traffic light performance for each of those. I'll touch briefly on a couple. So starting with generation development. I'll talk a bit more to geothermal pipeline coming up. We now have a team in place to keep delivering in that space, and there's a slide later in the pack on that. In terms of capturing energy transition growth, we've commenced a number of long-term contracts with Fonterra, with Whakatane Mill, with Visy, which is very exciting in terms of capturing the electrification growth. And we're also progressing with further smart hot water control programs that bring more, another 20 megawatts of control under management, which supports increasing flexibility. In terms of rebuilding sector confidence, there's no doubt that we have been doing well in the space but still have a way to go. There's confidence growing. There's still a lot for us to be done, and we'll keep pushing on that area as we progress this year, particularly as we hit towards the Trilemma, which is making sure we have affordable, sustainable and secure electricity for New Zealand. And final point I'll cover on that slide, just under earning transformation is the work we're doing around cost discipline and cost management. Very pleased to say that we're on track to deliver our reduced OpEx target of $370 million for this year. Over the second half of 2021 or the first half of financial year '26, we welcomed 2 new executives to the team. Suraiya Phillimore-Smith joins us most recently from Suncorp and to the Chief Customer Officer role and has had the team running really well, and I look forward to hearing her over the next little while, sharing with you the work that we're doing around transforming our retail business. Catherine Thompson also joined us in the last part of 2025. Catherine joins as the Chief Sustainability Officer, having the executive roles at a couple of other gentailers in the past, enormously experienced and adding enormous amount of value to Mercury already. And then as we head into April, I also welcome Michele Mauger to the team. Michele is joining from Vocus in Australia. She'll be joining Mercury as the Chief People Officer. We continue to make really great progress in the maturity of our health, safety and well-being systems. We've been implementing a number of world-class programs, and those programs are starting to deliver results. Results show up ultimately in our total recordable injury frequency rate, TRIFR, and for the calendar year, it's at 0.39 and showing just a consistently better result over time with the number heading further down, which is great. We also have teams and talents that are developing skills in a number of areas. The key areas that we are developing strength is really on the strategic opportunities ahead of us. So in the retail, the technology, the generation development and the asset resilience areas. I'll hand over to Richard to cover some of result information.
Richard Hopkins: Thanks, Stew. Look, you've seen the half year '26 delivery scorecard that is off and our progress against our strategic priorities. What I'm going to take you through is what drove the results, what it means for cash and investment capacity and how we're staying disciplined on balance sheet while continuing to grow our dividends. Look, the sector has been under a fair bit of scrutiny since the low hydro year in 2024, and our response is really simple to deliver and keep on delivering. From my side, it comes down to cash conversion and disciplined fund growth within guardrails and let delivery do to the talking. Looking at the slide, look, Stew and I are really proud of what the team has delivered in the first half. We've delivered a record EBITDAF of $537 million and an operating cash flow of $531 million. And what matters to me is the quality of the earnings, earnings converting to cash and the cash funding delivery and dividends. And when you sort of look high level across the slide as a whole, you see everything is moving in the right direction. So trading margin up, OpEx down, EBITDAF up, NPAT up, operating cash flow up, stay-in-business CapEx pretty much in line, growth investment up and dividends up, doesn't get much better than that. Look, so we've invested $208 million in growth during the year, $64 million in stay-in-business CapEx and declared a $0.10 interim dividend. The NPAT was $20 million, and that's driven by the negative noncash fair value movements on electricity derivatives across the existing long-dated contracts and 3 new contracts signed during the period, including the Huntly HFO. So the story is really simple, resilient earnings, disciplined growth and balance sheet strength. Moving to the drivers of EBITDAF. The bridge from $418 million to $537 million is mainly higher generation volumes, so plus $113 million and lower OpEx plus $24 million. Generation volume was up 0.5 terawatt hour, and hydro really did the heavy lifting there and we converted conditions into earnings and earnings into cash. Customer yields were modestly positive. Our mass market VWAP up $11 a megawatt hour, 7% and C&I VWAP at $1.2 per megawatt hour. Look, our net position reflects lower wholesale prices and our net CfD position with higher generation, and it moves with conditions and portfolio settings. On to the next slide, cost and cash discipline. Look, OpEx was lower and what's that been driven by? Well, we talked at year-end about the savings and the initiatives that we've put in place. So the main savings were through people, through a little bit on maintenance, which is mainly timing and other operating costs as major projects completed and consulting reduced. We're tracking to the FY '26 OpEx guidance of $370 million, so down from $396 million last year. So easing inflation. And it's all been around delivering through the operating model and tied to cost control. Despite investing at pace, you can see our net debt moved only $60 million. So up to $2.243 billion in December, 50% of our EBITDAF went into investing. And that's the discipline point, funding delivery without stretching the balance sheet. Turning to stay-in-business CapEx, we sort of break down what's been going on there. Stay-in-business CapEx is all about reliability and protecting long-term earnings quality. The mix includes geothermal drilling, hydro rehab and resilience, Arapuni Left Abutments and Taupo Control Gates plus other sustaining CapEx. Surplus $64 million versus $73 million last year, mainly lower drilling and major hydro resilience spend, such as Karapiro completed. The Rotokawa drilling progressed as well. So the key point is planned sustainable investments and not maintenance being cut. And next slide, please. So here, hydro, look, the hydro inflows were elevated at the 85th percentile hydrogeneration was really strong during the year with -- during the 6 months with record generation in July. We've set out what's been going on with the spot prices there, and we've managed a reasonable amount of spill, over 400 gigawatt hours. Hydro is increasingly our flexibility engine supporting the systems through volatility. We've committed, as Stew touched on to more hydro rehabs investing there. So $590 million has gone through FID, all approved by the Board, which is protecting the long-term future of those assets and also generating more power as well. So look, I'll hand you back to Stew now to run through the hydro investment program in a bit more detail.
Stewart Hamilton: Richard, as you mentioned, definitely, the hydro system on the Waikato River is the core of our portfolio. And I believe it's one of, if not the most flexible renewable asset in New Zealand. And so it's great to see the work we're putting into this very valuable asset. Firstly, we completed the upgrade of our Karapiro Hydro station. That was a 3-year program that's completed and Karapiro is now fully operational and operated from that. We've now got a strong team in place and really strong supplier relationships from that 3-year program. They're well established and that sets us up to move into the next 10 years of the program. We have now, as Richard mentioned, committed to 3 further hydro upgrades with the FID approved for $590 million. That will enable the upgrade of Maraetai I, Ohakuri and the Atiamuri stations. The design and print work for that is now underway over FY '26, '27, '28, that will include the procurement of early lead items and the design and construction manufacturer of various parts, including turbine and generator. We'll then kick into the actual replacement process through the late part of FY '28 into FY '29. And then overall, that program will take us through to about FY '34 and provide increases in capacity by 76 megawatts spread across the 3 power stations. We're also maintaining a resilience of the core set of assets. That's really vital to deliver our strategy. Part of that is the approval of the FID investment to strengthen the Arapuni dam with construction underway, and you'll see a big part of that coming in, in the next half. This is really about reducing risk, strengthening asset resilience and Arapuni Left Abutment is a key component of that. The Arapuni dam is our oldest operational dam, constructed in 1927. And so for us, it's making sure that, that asset is resilient for the next century ahead of us. Also, over the last couple of years, we've reestablished our geothermal development capability. The focus has been on rebuilding our capability and the design, the build and the commissioning of geothermal power stations that includes and is demonstrated through the successful commissioning of our 50-megawatt Ngatamariki plant. We also now have a team that's successfully been executing on a drilling program. And so over the last couple of years, we've completed the 8-well geothermal program, which has spread wells across Kawerau, Ngatamariki and Rotokawa. And we'll also combine that with the project capability and the project management that we are supporting in the supercritical project that's being driven by the government. So with that capability in place and the delivery of new production and drilling team, we'll now turn our attention to the future and how we can utilize those teams to deliver future growth and build into the potential 5 terawatt hours that we've identified. We'll provide more detail on that plan in May, and all of you are welcome to join us at that investor event. Mercury's wind development team, I think, are the leading wind farm growth team in New Zealand, if not Australasia. We've developed 5 of the last 6 wind farms in New Zealand, and the team is doing a great job at the 2 current projects underway, both are on track for delivery on time and on budget. If you look at Kaiwera Downs, we now have -- I think actually today, we might have nearly 12 of the 36 turbines up in the air, which is fantastic. First generation is expected in May and then that will flow through to the end of the year with all those turbines coming on stream. And then up at Kaiwaikawe, the first parts have been delivered to site earlier this week and first generation for that project is expected in August. And our generation pipeline continues to grow as well as the team continues to explore, identifies and develop these prospects. So our total pipeline has expanded further by another 2 terawatt hour. The bulk of our pipeline options exist in the North Island, as you can see from sort of third blue bar along on that chart on the first chart there. That's great to have those options located near the load in New Zealand. Our team has a job of progressing those various projects through a disciplined set of stage gates really making sure that most valuable projects are progressing, so we can make the right choice for a final investment decision at the right time. And overall, if we come back to the projects that are nearer term and those that are in construction and closer to the final investment decisions, we still remain on track to deliver the 3.5 terawatt hours by 2030. We've got the balance sheet capacity to do that, and we've got the team capability to deliver. Our project pipeline is critical to make sure that we had our FY '30 EBITDA expiration of $1.15 billion to $1.25 billion. As I mentioned, we have a pretty disciplined project gate process to take these projects through. We have about 55 Mercury team members in the generation development team embedded across Mercury and their role is to make sure that we're bringing the best projects to the fore and then delivering on those. So our fully renewable asset base does require firming to support our -- not only our current set of assets, but also our growth ambitions. Part of our wholesale team and our generation development team inside Mercury, big part of their focus is on developing the firming to support our renewable growth assets and our aspirations. We have several diversified solutions currently in place shown on the chart and the bottom there. But also, we're looking out to the future, particularly as we head towards our 2030 and what's required to support our growth plan to 2030. We are as part of that targeting battery energy storage solution or BESS. We have a consented BESS at Whakamaru, and we're targeting a final investment decision around about this time next year. Moving through to the regulatory and political part of our ecosystem. There's been extensive focus in this area and a market review that was conducted late last year. Ultimately, that independent advice confirms that the electricity sector is performing well. However, further evolution is required, particularly with the declining indigenous gas situation in New Zealand and the requirement to firm dry years. Sort of key themes that we take away from the various reviews that have taken place. The first is that electrification continues to grow and with that comes demand growth. We also see strong theme around security of supply. And of course, the final one, which is a major focus for New Zealanders, both businesses and households is an affordability. So our approach and the choices we're making around those 3 areas include when it comes to demand growth and electrification. The delivery of our renewable generation pipeline through that process. We are committed to developing those projects in consultation with EV communities and stakeholders, always considering environmental impact through the consenting process. We're also seeking to help increase demand by supporting large industrials to transition and to electrify. When it comes to security of supply, we've been supporting market mechanisms and that includes entering into the firming supply agreements with the Huntly Firming Option. And then from an affordability perspective, the 3 key areas we are focusing on. Firstly, around delivering greater clarity and transparency of our bills and our pricing. Secondly, providing consumers with control, and that includes the work we're doing over the next 6 months for time of use products for our customers. And finally, making sure we have care in place for those customers that are in situations of hardship and vulnerability. I'll hand back now to Richard just to touch on the customer work that we've got underway.
Richard Hopkins: Yes. Thanks, Stew. Look, I just think that's an awesome program of work we've got going on. It's so exciting to be part of Mercury and delivering for New Zealand. When we look at the customer side of things, just a couple of key points from me. So multiproduct continues to build. So about 40% of our customers now are multiproduct, that's 2 or more products and that's improving value per customer. Our connections are up at 30,000 versus prior calendar period. Our -- fiber is now ticked over 150,000 and we're over 94% of the broadband base. OpEx per connection is down and there's -- you can really see that in the yellow bars at the bottom chart. So yes, it's really great to see down 4% versus prior calendar period and 16% below HY 2024. So big, big progress there. Unit economics are improving through multiproduct pricing actions and customer value initiatives and really disciplined cost to serve. Making some good progress on time of use, and it's good for customers, good for system resilience, and we're on track to have that delivered by the end of the FY '26. And lastly, we've got a great new leader in Suraiya, leading the customer business. We're really excited to see what she can achieve, and you should be looking forward to hearing more from her as we talk to you going forwards. On the next slide, look, we're disciplined and we're careful with our money and the choices that we make. We target a debt-to-EBITDA of 2 to 3x, S&P adjusted, and that's consistent with the BBB+ rating. At half year '26, we're at 2.2, and net debt has gone up slightly to $2.243 billion. And so it's really well within the guardrails while we invest $1 billion across OEC5, KD2 and Kaiwaikawe and get those online and delivering money and cash to the bottom line. Look, we've got undrawn facilities of $465 million, and we're proactively considering the refinancing options for our $200 million green bond, which matures in September. Looking to go to market and get that done during March. We've got $1 billion, as I mentioned, committed into new wind and geothermal, and we're also investing significantly in hydro, including the $590 million rehab program that Stew mentioned, 76 megawatts, 87 gigawatt hours per year. But the big point here is that we can deliver the program on balance sheets with conservative debt-to-EBITDA settings with liquidity headroom to manage volatility. So we're in a good place. In terms of dividends, look, interim dividend is $0.10 at 4% and dividend guidance remains $0.25. The payout is towards the low end of the range because we're in peak investment period and balancing progressive dividends and our long track record of growth with funding, value-accretive growth and maintaining balance sheet resilience. Our half year operating cash flow supported dividends and growth investment with balance sheet headroom and portfolio flexibility. And 2026 guidance, this is pretty simple, unchanged. Full year EBITDAF remains at $1 billion. It's based on 4.4 terawatt hours of hydro generation. And obviously, subject to hydrology and wholesale market conditions going forward. We're confirming our OpEx guidance of $370 million, our SIB CapEx guidance of $150 million and dividend guidance of $0.25, so up 4% on last year. We're starting the second half in a strong storage position, but there's still a long way to go to 30th of June. And the key point here for us is discipline. That's the point we want to keep on executing, stay conservative on guidance and build confidence through delivery. We'd rather let delivery do the talking. So with that, I'll hand back to you, Stew, to run through the final slide, and then we can open up for Q&A.
Stewart Hamilton: Thanks, Richard. Yes, absolutely. So to summarize our half year '26 interim results, we are very much demonstrating the delivery of our strategy with strong performance in terms of better today, building tomorrow and brighter together. That's showing up through our resilient earnings, through our disciplined growth and through our balance sheet strength. So we're leveraging our strength in wind and geothermal in particular, we've got a superior project pipeline ahead of us and a strong financial position to start with. That will enable us to make smart, disciplined investment decisions focused on the delivery of our performance, and I look forward to sharing the continued delivery of those results as we get into the second half. And with that, I'll hand back to Paul to open up for questions.
Paul Ruedige: Okay. Thanks, Stew. Thanks, Richard. Okay, I'm just going to bring Grant Swanepoel on from Jarden.
Grant Swanepoel: Is that working? Sorry. First question, just on this hydro spend. Do we think of it as the maintenance CapEx going from $150 million to $209 million for the next 10 years? And on that investment, the 76 megawatts and 87 gigawatt hours on your long-run wholesale expectations, what does that deliver you in terms of extra EBITDA?
Richard Hopkins: Yes. So look, in terms of the investments, Grant, that's all sitting between -- in our stay-in-business CapEx and even the sort of growth element, we don't do anything cunning there and call that growth. We just call that stay-in-business. So it's all within the $150 million, and we continue to expect to stay within the $150 million going forward. This was all baked in when we've been talking about our sort of forecast and the guidance out to FY '30, this is all baked into that. And so when we look through. We still remain very confident of the range that we've provided for FY 2030. We still remain confident that we'll be picking our debt-to-EBITDA at 2.6x, which is what we talked about at the Investor Day last June and then leverage will be falling away from there. So look, we've got plenty of funding capacity to do everything that's in our pipeline and to do more. Equally, we can see what others are doing as well. So we're going to be disciplined about that to make sure only the best things make it through that have great LRMCs and deliver great returns to shareholders.
Stewart Hamilton: Sorry, on the value part of your question, Grant. Very much that additional megawatt capacity really feeds into the firming part of our portfolio. So that kind of slide that shows where our capacity requirements are. So it will enable us to have the firming, which means we can continue with confidence to keep building our wind portfolio out, for example. And then if we look at sort of our expectations of where the gigawatt hours show up, has it really changed in terms of our expectation of the long-run marginal price being somewhere between that sort of 110 to 125 region? So as these projects come online, that's what we're considering them against.
Grant Swanepoel: That's very clear. Then you did mention that you will be watching all the others build programs with Contact and Genesis now having raised a bit of capital and accelerating their programs. Do you have enough of a culture in your company that you can shift from just growth, growth, growth to something that's a bit more subdued?
Stewart Hamilton: Yes, absolutely. So plan of our pipeline is -- and Matt Tolcher and the generation development team are to bring these projects so they are execution ready, ready to go. And then that's for us, we take these projects through a pretty disciplined process with our Board to make sure that when we do head to FID or final investment decisions for those projects, we're considering where the project is and what the demand and supply situation is in New Zealand before we actually press the button on those projects. And a big part of that is also looking at our wholesale part of the business to try and work through developing a load or a long-term supply agreement that actually back to back with the supply that we're going to provide. So you see that a little bit with the Kaiwera Downs 2 project. That largely came off the back of a long 20-year contract with the Tiwai Point aluminum smelter, and that's something which we watch very closely as well.
Grant Swanepoel: And my final question is just a short-term one. Your OpEx improved materially first half, great outcome and not material improvements set for the second half. But there's no run rate in that OpEx out in the first half, that would see you reducing the $370 million for FY '26 outlook?
Richard Hopkins: Yes. So look, there's -- when we look at this Grant, there's -- a lot of it was -- has come through in that first half, but there. There are swings and roundabouts as we go through the year. So it's always interesting to look at the first half, but there's other overs and unders as we go through. So look, we think $370 million is a good number to be hitting. We still got a way to go. And what's the risk? Well, the risk is something goes bang and creates a bit of a maintenance blip for us. We've got contingencies in place for that, if it happens. So look, we think the $370 million is the right number to be guiding on. If we -- if everything goes really well, can we come in lower? Yes, a bit, but not materially. Wouldn't be doing anything well on that front. The main thing for us is to be setting ourselves for this -- setting ourselves up for this year and for the next 2 years as well.
Grant Swanepoel: And I wanted to ask you about your conservatism in not changing your $1 billion forecast for this year, considering that was such a good first half. But thank you for answering my other questions.
Paul Ruedige: Okay. I'd like to bring Vignesh Nair onto the screen, if you can unmute. Vignesh is from UBS.
Vignesh Nair: Stew and Richard, well done on a really strong result today. Couple of questions. First one, just can we get a bit more color? I think you can sort of -- so you snuck in a geo project of 30 megawatts in the pipeline. Understandably, you're probably providing more details on the 14th of May. Can you sort of talk to that a bit? Is this the only project from a geothermal perspective in the pipeline that can be delivered pre FY '30 potentially? Or are we still talking to post '30 new geothermal?
Stewart Hamilton: Yes. Thanks, Vignesh. Good question. So we have, I think, previously talked about a GEO project 1 which is the most likely project which we will deliver before 2030. So whilst we have a really strong pipeline of opportunities ahead of us, and we'll share a bit more of the detail of those projects when we get to May. The target for us is to deliver a project before 2030, whilst we continue to grow the potential projects, which will likely be delivered in the 2030s. So that 5 terawatt hours, the bulk of that will require us to do exploration, including drilling and development over the next few years that will lead into then the execution and delivery of those projects beyond FY '30, but we are certainly going to be pushing pretty hard to get the first one of that project in place and operational before 2030.
Richard Hopkins: Yes, that project wasn't new, though. That's something we had in our investor stuff back in June last year. But yes, there's a few different options behind that. So we just need to see which of the options we can get done in time. But yes, we just think geo is great, it has got really attractive. We understand it well. If you look at what's happened on OEC5, delivered on time and on budget, LRMC when we've been talking about H2 before, it's going to -- touching wood because we're just in sort of final reliability testing now, but it's going to come in below that. So yes, show me someone else is delivering any sort of value like that.
Vignesh Nair: Awesome. And secondly, I can see that you've changed your stance on the Whakamaru BESS slightly from 150 megawatts to a range of 100 to 150 megawatts. Just keen to hear your maybe broader thoughts on the New Zealand battery markets. Many of your peers are sort of obviously quite bullish on it medium to longer term?
Stewart Hamilton: Yes. Yes. So much to cover in that question. So from our perspective, when we look at batteries, there's sort of 3 broad areas that we see the value show up. And firstly is in the area of arbitrage from an electricity pricing perspective. The second is in reserves and the third is in portfolio benefits. From the first -- the kind of the portfolio benefit is the one that's most likely to drive us looking at construction of a battery and our portfolio of assets. That's sort of what we tried to show a bit on that Slide 18, where we've got enough in our current portfolio to support what we are currently operating in our gen dev pipeline at present. But as we head towards bringing on stream the next set of wind farms, we will need batteries in our portfolio to help firm that. And so that's largely our thinking around the value show up for us in terms of the portfolio benefits and firming the other projects. So that's why we're sort of working through the best size of that project and the best time to stagger that investment. So we might stagger that up. We've got a consent for up to 300 megawatts of Whakamaru, but the likelihood is that will be staged potentially 100 megawatts first stage or 150 megawatts and basically staged to make sure it matches the renewable generation projects that we're building at the same time.
Richard Hopkins: Yes. So we're not sitting on our hands there. We've done a lot of thinking, a lot of work. We're going to be moving forward into procurement in the not-too-distant future and expect to be building it certainly this side of 2030. We can see some real value in our portfolio to it, but we're just doing it at the right time where it delivers most value.
Paul Ruedige: Next, we've got Andrew Harvey-Green from Forsyth Barr. I am just bringing on screen, Andrew, if you can unmute. He did mention he might have some issues with this particular call. So wait a couple more seconds, and then I'll just let go of Andrew, and then hopefully bring you back later. Next, we've got Josh Dale from Craigs, bringing on screen now. Do you want to unmute, Josh?
Joshua Dale: First question, just on your FY '30 EBITDAF target, we have visibility on most pieces of the buildup to that with the exception of maybe Waikokowai, Puketoi. Do you have any indication on timing for those? And I guess, are there any risks of not having that generation come online for a full FY '30 contribution?
Stewart Hamilton: Yes. So in terms of timing for that, we're progressing at the moment. We are aiming to get consent in place for that project sometime over the next 12 months or so. So that from a Waikokowai perspective, we certainly see that as the most likely next project to get off the ground in terms of consent through the final investment decision. It's a potentially a really valuable project in a great location. So it's really key for us. So that's certainly a project we're pushing pretty hard at the moment. Puketoi is another one, which we've done a lot of work around over the last couple of years, just trying to optimize that. There's already a consent in place for that project, but it's not a consent, which is, I'd say, commercially valuable or viable. And so the key thing for us is to make sure that those projects are progressing at pace. But equally, we won't push the button on those projects if they're not going to deliver good commercial outcomes. So yes, we're still targeting that. We expect that we'll have our aspiration. If those -- 1 or 2 of those projects don't come off, then we have another pipeline of projects, which will fill that gap. So our idea is to push those projects as hard as we can. But equally, we've got a number of options that sit underneath it to plug the gaps.
Richard Hopkins: Yes. And when we sort of put up that forecast back in the day, we weren't assuming everything actually happened on this table. So there was some optionality around Waikokowai versus Puketoi. And so you can hear which one we think is the most likely today. But yes, as we look forward, I'll keep on the theme of under promising and over delivering. That's what we think we're doing with the range that we've given for 2030.
Joshua Dale: Okay. That's helpful. And on the $590 million of hydro refurbishment spend. I appreciate you've got the phasing on Page 12, which is helpful. Is that CapEx deployed fairly evenly across those rehab periods? Or is it more front or back-end weighted? And I guess adding to that is the 120 for Arapuni as well? Just an indication of phasing would be helpful.
Richard Hopkins: Yes. So pretty evenly spread over time. I think the big bits for us is actually -- there's -- I think as you look around the world, there's a lot going on with turbines. We've been working with ANDRITZ for a long time now. And the big bit is to have an agreement in place with them, to have manufacturing slots booked with them to have the long lead time stuff starting to get ordered. And so yes, we're expecting, at least in theory, Josh, are pretty smooth path through all of that within that sort of 150 guardrail that we've been talking about. Yes, we think it's a good place to be committing long term to those things for our own asset resilience, but also committing long term with our key partners as well to make sure that we're at the front, not the back of the queue.
Stewart Hamilton: I'd say the Arapuni Left Abutment, definitely, the spend on that will be focused on the next couple of years primarily. And then the hydro upgrades at the Maraetai, Atiamuri, and Ohakuri largely spread out across the next 7, 8 years.
Joshua Dale: Excellent. That's helpful. And last question. Out of interest, did you toy at all with upgrading FY '26 guidance given Lake Taupo's full OEC5 has progressed pretty well.
Richard Hopkins: Look, we had -- we always have a good look at our guidance and make sure it's in the right place. So we have had some discussions and agreed that this isn't the time to be upgrading. There's -- yes, if only life was as simple as a flat line and what you think is going to happen happens. We've got hydrology, got wholesale prices. Look, we're comfortable with that. And yes, but no, we haven't upgraded the guidance because we think we've made it pretty clear where we stand. And yes, it would be disappointing from here not to be delivering it.
Paul Ruedige: Andrew, I'll just bring you back on screen. I'll take your screen again, Andrew. We'll go to Steve Hudson from Macquarie.
Stephen Hudson: Just got a couple for me. On your South Island development options, perhaps Stew, should your old employer push go on sort of bringing back potline 4 and perhaps a greenfield potline 5, how well placed are you to further supply into that kind of demand?
Stewart Hamilton: Yes. So definitely, if we look at, for example, as I mentioned Kaiwera Downs 2 is largely set up to support baseload at Tiwai. As we look for Puke Kapo Hau or as you know, at Mahinerangi 2, that's a project, which is also in the lower south of the South Island and certainly would make sense to have a load in the South, whether it's a smelter or whether it's a data center or whether it's Fonterra electrification. There are a number of quite large potential opportunities in the South which is why we're still progressing some of those projects because PKH or Puke Kapo Hau is a really good project with a great LCOE. It's obviously in the location, which isn't great. But if we can find loads such as Tiwai's line 4 or line 5 and beyond, all those other things I spoke to, then that's really well suited for those.
Stephen Hudson: Yes, makes sense. Richard, maybe one for you, very clear sort of messaging on the balance sheet. You've got a 0.8 turn on EBITDA sort of headroom. I just wondered how the credit rating agencies look as you're going through a significant build phase at some sort of forbearance above the 3x ceiling.
Richard Hopkins: Yes, I'm pretty sure that that's not on my bucket list. But look, the credit rating agencies will look through if there's a short-term increase over and above. It sort of varies depending on the reason that you're above as to whether there's sort of a negative outlook or not. So there's -- yes, companies have the possibility of getting into the low 3s for 12 months or so, 18 months if there's a clear plan to get back under over time. But yes, we're a long way away from that peaking. Just the same as what I said back at the Investor Day back in June last year, sort of 2.6x. So we're pretty good and got a good amount of headroom there. My constant thing is to talk to Stew and talk to Matt and say we want to do more because we've got a great pipeline. We don't need to accelerate what we've got. We're moving fast. We're the ones building stuff and having 3 coming online, I would love to build some more. Yes, so we don't need more capital to speed up, we're going as fast as we can. What's slowing us down? Well, it's the normal stuff around consenting, but we're pushing through that as quickly as we can, and we'll keep on building where there's great value.
Stewart Hamilton: We sort of look at, Steve, is every sort of terawatt hour to build is around about $1 billion worth of investment. So we look out to our goals in terms of 3.5 terawatt hours by 2030, it gives an idea of the sort of money that we want to be spending and then that's built into the capital headroom, which Richard and the team look at.
Richard Hopkins: That's right. Look, it's big assumptions is how lumpy is it? And yes, it's nice and easy to say $600 million a year broadly, and that's what we'll spend this year. But there might be some lumps in that, but even if there's a big lump, 2.6 gigawatts still looks like where we'll be.
Stephen Hudson: Just one final one. We've often quizzed you about the GWAP/TWAP factors that we might expect over time from the wonderful Waikato hydro peaking assets that you've got. Do you think you might be in a position to share a little bit more of your thinking around that come your Investor Day? Or do you think it will be largely geothermal focused?
Stewart Hamilton: Yes. The idea is very much for the May session is very much geothermal focused and sort of opening the covers a little bit to create a bit more clarity around what that looks like over the next 5, 10, 15 years. But certainly something we can take away, Steve, and think about even for our full year results, if that's something which might add value for us to be presenting to help.
Richard Hopkins: Yes. Look, I mean, I think it would be, 5 terawatt hours is a big number as well, but we'll just add that to the wish list.
Paul Ruedige: So that's the end of questioning. I pass back to you, Stew.
Richard Hopkins: We will talk to Andrew later, will we?
Stewart Hamilton: Yes, I look forward to catching up when we talk later on, Andrew. Yes. So thank you very much. I just really wanted to take the chance to thank the Mercury team. It's been a really great start to FY '26, but there's still a lot of work for us to do, whether that's in delivering our new projects, whether it's in the work to support the regulatory and government space, all the way through to the core assets, which include the 1,300 people inside Mercury that are servicing customers and supporting our assets on every day. So thanks very much for your time. Look forward to catching up through the day and over the next few days and sharing the results of the second half of FY '26.
Richard Hopkins: Thanks, everyone.